Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the 1stdibs.Com Incorporated Fourth Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  At this time, I would like to turn the conference over to Mr. Kevin LaBuz. Sir, please begin.
Kevin LaBuz: Good evening, and welcome to 1stDibs earnings call for the quarter and full year ended December 31, 2021. I'm Kevin LaBuz, Head of Investor Relations. Joining me today are CEO, David Rosenblatt; and CFO, Tu Nguyen. David will provide an update on our business, including our strategy and growth opportunities; and Tu will review our fourth quarter and full year 2021 financial results and first quarter 2022 outlook. This call will be available via webcast on our Investor Relations website at investors.1stdibs.com. Before we begin, please keep in mind that our remarks include forward-looking statements, including, but not limited to, statements regarding guidance and future financial performance, market demand, growth prospects, and business plans. Our actual results may differ materially. Forward-looking statements involve risk and uncertainties, which are described in our SEC filings. Any forward-looking statements that we make on this call are based on our beliefs and assumptions as of today, and we disclaim any obligation to update them. Additionally, during the call, we'll present GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you can find on our Investor Relations website, along with the replay of this call. Lastly, please note that all growth comparisons are on a year-over-year basis unless otherwise noted. I'll now turn the call over to our CEO, David Rosenblatt. David?
David Rosenblatt: Before we begin, I'd like to take a moment to thank our wonderful sellers, buyers and employees for making 1stdibs a leading marketplace for the world's most beautiful design. I'd also like to thank our investors for their support. 2021 was a strong year for 1stdibs. We became a public company, launched two new offerings, which represent meaningful long-term growth opportunities and delivered strong financial results. For the full year, GMV grew 31% and revenue grew 25%. We ended 2021 with nearly 72,500 active buyers, up 25% and grew our registered user base from 3.5 million to 4.3 million, up over 20%. We regard buyer and seller trust as our most valuable asset. There is no other digital marketplace at our scale, which has the buyer and seller trust to transact at our price points in multiple verticals. Average order value grew throughout 2021 in spite of higher volumes, reflecting the trust we've earned over the past 21 years. This was driven by broad strength at the heart of the marketplace. In the fourth quarter, GMV from listings priced between $2,000 and $20,000 outpaced overall GMV growth. However, luxury is available at a variety of price points with a median order value of $1,300. We are able to deliver qualified buyers at price points ranging from $100 to $1 million. There are large opportunities ahead of us as luxury shopping migrates online. While the 1stdibs brand is 21 years old, we didn't fully convert the business model, the eCommerce, until April 2016. Our primary focus since then has been to grow the liquidity of the 1stdibs marketplace, which in turn fuels GMV growth. Scaling both sides of the marketplace, in addition to our great brand, strong network effect, unparalleled trust and the secular shift of consumer and seller behavior online have driven our growth to date. Our strategy for 2022 and beyond is to enhance the growth rate of the marketplace by focusing on four new growth levers: auctions, product localization and international expansion, supply growth and NFTs. Auctions, which launched on November 10th, provide buyers a new way to discover and purchase the world's most beautiful things on 1stdibs. Our development philosophy is to prioritize speed to market and then test and iterate as we gather data and feedback. Auctions are an example of this philosophy in action. We seamlessly brought a sophisticated product to market in 90 days. Since launch we've added functionality and improved the buyer and seller experience through weekly product releases. Our thesis was that auctions would gain adoption because they're an effective form of price discovery for one of a kind items and because we're already at scale in terms of the number of buyers, sellers and items on the platform. Early results have validated our thesis, showing buyer and seller appetite as well as low barriers to adoption. Only three months in over 15% of sellers have listed an item to auction. We achieved our first $1 million in auction GMV in under 10 weeks. Our primary lesson so far is the importance of proper pricing to successful auction outcomes. Items whose pricing has been optimized for the auction format have higher bidding activity and higher sell-through rates. These listings typically have a low starting bid price, a competitive reserve price, and the Buy It Now Price, which is at a discount to the previous list price. While today only a small percentage of auction listings meet all three pricing criteria, sellers are very receptive to guidance on how to make auction successful and we have a number of efforts underway to help them. For example, our product and engineering teams are currently building pricing guidance tools for sellers directly into the product. Additionally, our supply team and partner managers are driving adoption of optimal auction behavior by educating sellers on auction and pricing best practices. We're excited about both the early traction and the long-term auction opportunity. Over time, we expect that auctions will generate urgency, increase sell-through rates, aid price discovery, create new marketing hooks and help convert more of our or 4.3 million registered users into buyers. The first step to accomplishing this is to optimize pricing, a major focus for the first half of 2022. Product localization is another 2022 priority. We plan to launch our first local language sites in the second quarter, starting with France and Germany. We're starting here because these are our largest non-English speaking markets in terms of order volume. Building localized products is a cross-functional effort. In addition to translation, our teams are working to integrate local payment methods, add local language support, build out local carrier networks and create localized content and merchandising. Launching local language products will allow us to invest in paid and organic marketing. We'll start with SEO investment followed by paid marketing as conversion improves. Product localization strengthens the 1stdibs' marketplace, bringing sellers more qualified demand and providing buyers with more unique inventory. We have a multiyear roadmap for international expansion starting in Western Europe. In 2021 without any local language sites, over 40% of our sellers and one third of our traffic were located outside the United States. However, international conversion rates are about half of U.S. conversion rates. Our expectation is that localization will improve conversion rates for non-U.S. traffic. Building our brand and our business in the international markets will take time, but the opportunity is large and justifies the effort. Growing supply is another growth lever. We ended 2021 with more than 4,700 seller accounts, up over 20%, and over $14 billion worth of merchandise listed on the marketplace, up from $10.9 billion on March 31, 2021. Our goal is to aggregate the world's best items regardless of where they're located. Our current merchandise value is just scratching the surface of potential qualified items. Given the heterogeneous and long-tail nature of our listings, growing supply increases discoverability enhance traffic, expands engagement and improves conversion by providing buyers more options. To accelerate supply growth, in January 2022 we began testing new pricing tiers for perspective sellers. Our goal is to significantly increase supply while maintaining take rates long-term. These test plans expand seller choice, offering different combinations of subscription fees, commission rates and service levels, including a subscription free tier with a higher commission rate. This test allows sellers to select the plan that best supports their business. We know from seller surveys and cohort data that sellers add more listings and generate more GMV over time. This pricing test offers options to reduce the fixed costs of joining the marketplace. Early results have been encouraging. The number of new sellers signed so far in January and February 2022 is double the average monthly number from 2021. We've also seen an uptick in new European sellers, an encouraging sign that revised pricing supports international expansion. Scaling supply is the primary objective for our NFT platform as well. While we have a long waitlist of highly qualified artists, to date there has been a bottleneck in onboarding them. Our development team is shortly releasing the functionality to enable self-minting along with other artists facing features, which will allow approved artists to create and sell NFTs themselves. We anticipate that the addition of unique digital art supply will drive buyer engagement. Our confidence in these initiatives is driven by the strength of our marketplace, where the fundamentals remain healthy. In the fourth quarter, seller churn decreased compared to last year, the percentage of sellers with a sale increase and we ended the year with over 4,700 seller accounts. On the buyer side, AOV and returning buyer conversion rates grew. On a two year stack basis, GMV grew 52%. The holiday shopping season got up to a fast start with October and November GMV ahead of plan. However, we saw a slowdown in December likely due to consumers pulling forward holiday shopping. Our marketing team ran another great holiday campaign, which like many others was brought up in anticipation of customers looking to avoid shipping delays. Consistent with recent quarters, interior designer or what we call trade GMV growth outpaced consumer GMV growth. Digging into trade, our team had another outstanding quarter capping off an outstanding year. Design is a very hands on process, lockdowns and pandemic related restrictions, hamstrung designers in 2020, but they rebounded in 2021. In the fourth quarter, we grew both the number of spending trade firms and the average spend per firm. The business has great momentum entering 2022. Turning to supply. We're proud to announce that Matt Rubinger joined 1stdibs as Chief Commercial Officer in November. Matt will oversee seller and apply acquisition management and growth. He has deep expertise in luxury, a tenured background at Christie's and firsthand experience selling through digital marketplaces. We are in an excellent position to welcome more sellers and increase the number of beautiful one of a kind listings in 2022. Lastly, SEO had another strong quarter with average rank improving and organic traffic growth accelerating. We prioritize cross-functional SEO investment in 2019 and this is now paying dividends. SEO is a good case study for our 2022 growth initiatives. The right mental model for how we think of about our growth opportunities is building the critical mass rather than turning on a light switch. Building awareness and commercializing products takes time. Throughout this process we closely monitor progress, updating our hypothesis, iterating on products as we gather feedback and improving where needed. I'm proud of how the team executed in 2021, we increased product velocity. Delivered strong GMV growth became a public company and continued building a diverse and inclusive workforce. Strong marketplace fundamentals and progress with past initiatives like SEO, give us the confidence to invest in auctions, product localization, supply growth and NFTs. There's no other online marketplace with our breadth of unique, one of a kind luxury design. Looking forward, we're well positioned to benefit from the continued shift to digital, the extensibility of our platform and the buyer and seller trust we've built over the past two decades. As we announced earlier today, our CFO Tu Nguyen has decided to leave the company to pursue a new opportunity. Before I conclude, I want to take a moment to thank Tu for her council, dedication and leadership over the past nine years. Tu has been instrumental in helping 1stDibs raise capital scale, our business, hone our strategy and go public. She will be missed, but I'm confident in the strong finance team that she has built and truly appreciate the role she has played in setting up 1stDibs for long-term success. On behalf of the entire board, management team and company a heartfelt thank you. Tu will be succeeded by Thomas Etergino. Tom has extensive experience as a CFO of public companies, his proven track record and leading organizations through rapid business expansion makes him a perfect person to help us with our next stage of growth. On a personal note, I had the pleasure of working with him at DoubleClick and I'm thrilled that we will be working together again. He will join the company at the end of March when Tu leaves. I'll now turn it over to Tu who will discuss our financial results and outlook.
Tu Nguyen: Thanks, David, for your kind words. It has been a privilege to be part of such an exceptional team over the past nine years. And I am incredibly thankful for the opportunity. I couldn't be prouder of what we have achieved together. And I look forward to following the company's continuous success. Turning to the quarter, we delivered strong results in the fourth quarter, which I will review along with providing an outlook for the first quarter. Fourth quarter, GMV was $117 million up 11% driven by AOV and traffic growth. On a two-year stack basis, GMV growth was 52% compared to 57% in the third quarter. Similar to the last two quarters trade GMV growth outpaced consumer GMV growth many of the trade firms we work with are running near 100% capacity and are looking to hire more designers. As we cycle through more difficult year-over-year growth comparisons, consumer GMV growth slowed relative to the third quarter as expected. On a two-year stack, consumer GMV grew 61% and trade GMV grew 41%. As a reminder, when we reference trade GMV and consumer GMV, we are speaking of the subset of on-platform GMV attributable to each of these buyer groups. Once again, fashion, and new and custom furniture were our fastest growing verticals. In the fourth quarter, we typically see a slight shift from furniture towards gifting categories like jewelry and art. Vintage and antique furniture accounted for less than 50% of GMV in the quarter. And the majority of our first-time orders came from newer categories like art, jewelry and new and custom furniture. While we expect to grow all of our verticals, vintage and antique furniture GMV mix should gradually decline over time. Marketplace trends remain healthy. We ended the year with nearly 72,500 active buyers up 25%. In the fourth quarter average order value increased 8% and orders grew 3%. Similar to the third quarter AOV gains were driven by new and custom furniture growth. AOV growth demonstrates the trust that our buyers and sellers have in our platform to transact high value items online. On the supply side, we ended the year with over 4,700 sellers accounts, up from 4,200 a year ago. And over $14 billion of seller stock value on the marketplace up from $10.9 billion as of March 31, 2021. Net revenue of $26.9 million grew 13% driven by GMV growth and improvement to transactional take rates. Transactional revenue which is tied directly to GMV growth was approximately 70% of revenue in the quarter with subscriptions making up the bulk of the remainder. Gross profit was $16.6 million down 3%. Gross profit margin was 61.7% down from 72% a year ago. This decline was driven by an unexpected increase in shipping expenses related to 1stDibs facilitator shipping, which had an approximately $2.6 million impact in the quarter. Our advanced quotes rely on historical shipping costs, which were off market in the fourth quarter due to shipping inflation and supply chain disruptions. This means we collected less upfront from buyers than we were ultimately charged shipping providers. In particular, the biggest losses were due to international front door freight and white-glove services. To mitigate this, we've adjusted our pricing and stopped offering advanced quotes on certain large bulky international orders. We believe this as a one-time issue and expect to see gross margin to normalize in the first quarter of 2022. Sales and marketing expenses were $11.8 million up 12% driven by headcount related expenses. Sequentially sales and marketing dropped by about $1 million as we pulled back on performance marketing in part due to IDFA headwinds. Sales and marketing as a percentage of revenue was 44% flat versus a year ago and down for 50% quarter-over-quarter due to more efficient performance marketing spent. Similar to last quarter, IDFA impacted our retargeting ability. We estimate this was an approximately $3 million to $6 million drag to GMV in the quarter up sequentially, due to higher traffic volumes in Q4. In the first half of 2022, we will focus on rebuilding capabilities through new partners in leveraging first-party data. Technology development expenses were $5.8 million up 42% driven by approximately $1 million in translation expenses for international product launches. This includes the expense of translating all of our content and listings. Every new market we localize will require an upfront one-time investment. After that, the expense will table off significantly as only new listings and new content need to be translated. As a percentage of revenue, technology development was 22% up from 17%. G&A expenses were $6.1 million up 75% and 23% of revenue up from 14% a year ago. The increase was mainly driven by expenses related to public company cost, including D&O insurance and increased headcount. Lastly, provision for transaction losses were 1.4 million up 21% driven primarily by GMV growth and increased charge by claims. Provision for transaction losses were 5% of revenue flat year-over-year. Adjusted EBITDA loss was $6.8 million compared to $0.9 million a year ago. Adjusted EBITDA margin loss was 25% versus 4% last year. This year-over-year change was driven by shipping losses, higher G&A expenses, primarily due to public company cost and investment in product localization, because two-sided marketplaces get better as they get bigger growing GMV in a disciplined manner remains our priority. Given the opportunity ahead of us, we are focused on four strategic priorities; auction, international expansion, supply growth and NFTs. As we scale our asset-light business model and highly variable cost structure should generate operating leverage and free cash flow. Moving on the balance sheet, we ended the year with a strong position of $168 million in cash and cash equivalents. Now turning to our outlook, we focus first quarter GMV of $113.5 million to $117.5 million equating to a year-over-year growth between flat and 3%, and a two-year stack of approximately 64% to 67%, net revenue of $26.4 million to $27 million equating to a year-over-year growth between 3% and 6% and a two-year stack of approximately 43% to 49%, adjusted EBITDA margin loss of 23% to 21%. While macroeconomic conditions remain uncertain and we are not providing full year guidance. We'd like to share some additional context on the assumptions underlying our GMV guidance. Year-over-year GMV growth, we're with the lowest in the first quarter of 2022, as we lap the 64% GMV growth in the first quarter of 2021. Comps ease progressively moving throughout 2022. Additionally, we expect GMV from strategic initiatives to gain momentum in the second half of 2022. Lastly, we assume continue IDFA headwinds in the first half of the year. Turning to revenue guidance, our new seller pricing test is designed to be take great neutral long term, but could impact our mix of subscription versus transactional revenue near-term. Turning to adjusted EBITDA margins, guidance reflects sequential gross margin improvement, continued investment in translation and international expansion. We expect the bulk of the upfront translation required for our French and German product launches to be completed in the first quarter. Ongoing investments in the growth levers detailed above. In closing, in 2021 we grew the marketplace became a public company and delivered strong financial results. We entered 2022 on solid footing and with a strong roadmap. Given the opportunity ahead of us, we prioritized thoughtful investments in growth, including auctions, product localization, supply growth and NFTs while enhancing our core buyer and seller experience. Thank you for your time. I'll now turn the call over to the operator to take your questions.
Operator:  Our first question or comment comes from the line of Justin Post from Bank of America. Your line is open.
Justin Post: Thank you for taking my question. I guess just on the quarter you mentioned December slowed down. So maybe you could talk a little bit about more what you saw on the quarter and any reason to think that could pick up, is it COVID related or any of other reasons for that at December and what you saw in January? And then second, auctions sounds like you're happy with the start. Maybe give us a framework of do you think it's actually incremental to your volumes at this point and how big that could be as a percentage of revenues? And then I have one housekeeping question later.
Tu Nguyen: Thanks, Justin. I'll take the first question and then David can provide some more color on auctions. So the quarter started strong with October and November ahead of plan on a year-over-year basis. And December remained strong for trade. But we saw a drop off in consumer demand. Conversions rate for returning buyers remained healthy and the softness in consumer was attributable to new buyers GMV, which was partly impacted by IDFA and partly due to some pull forward of consumer demand as well, where we saw that buyers were starting to start their holiday shopping earlier. And then in terms of Q1 the midpoint of our guidance there assumes growth on top of a very strong Q1 of last year. So reminder Q1 of last year grew at 64% year-over-year and so on a two-year stack basis the midpoint of our guidance assumes 66%. And then lastly, I was just mentioned that the fundamentals of the marketplace remain very healthy. We are seeing conversion, great growth for returning buyers and the quality of our recent buyer cohorts are consistent with the buyer cohorts in prior year. And we are very much focused on growing new buyer conversion and mitigating the impact of IDFA through partnering with different vendors and continuing to focus on capturing and targeting with post-party data. I'll pass that on to David to – for his comments on auction.
David Rosenblatt: Sure. Hey Justin, so I would say just quickly as an overview on our perspective on auctions in general. We are happy with the early results, which we feel have validated our launch thesis that both buyers and sellers have an appetite for this product and that there are low barriers to adoption of the product. I mentioned in the script we've already generated or took us about 10-weeks to generate the first million dollars in auction GMV. And also importantly 15% of our sellers have listed at least one item for sale in auction. The key thing that we've learned so far is that pricing is really important for the success of auctions. What we've seen is that sell through rates on auctions that have pricing that are – that's optimized for the format are roughly three times higher than items for which the pricing has not been optimized. So our primary focus right now is on educating our seller base, primarily through our people and our relationship managers. But we're also building features into the product to provide sellers pricing guidance, to help them. In terms of your specific questions, it's difficult to know scientifically what the incrementality is. Our estimate is that the majority of auction GMV is incremental, primarily because sell-through rates on our inventory are fairly low to begin with. And the velocity should be higher on auctions. In terms of size, again, I would sort of point you to the fundamentals. And again, our kind of original thesis for the product in the first place, which is we have – in terms of face value, roughly $14 billion worth of product on the marketplace of which we're likely to sell roughly $500 million is just to use very round numbers this year. So when we look at the reasons why the balance between those two don't sell, partly it's due to the fact that this industry just generally has longer sales cycles than others. But more specifically it has to do with pricing, that either consumers believe that the pricing is too high or that they don't have the ability to interpret that pricing. Auctions of course are the best vehicle for price discovery and address that head on. So our expectations for auctions are high, because again, they address the primary reason why items don't sell on the marketplace.
Justin Post: Got it, maybe two follow-ups one for you, David. Are you seeing good interest from buyers when things go on auction? And then maybe for two, could you give us a percent of transaction revenue in the quarter? Thank you.
David Rosenblatt: Yeah. So we do see good engagement. First of all, I mentioned the relative sell through rates between when an item is priced effectively and when it's not. We also have a fair number of auctions where there's a lot of activity but which don't clear where ultimately the highest bid doesn't clear the reserve. And we're working on tools to help kind of keep those alive and convert those into orders. I think, broadly though, it's also the case that we have a job in front of us to grow awareness, even among existing buyers that we do have this format. This business has been around for 20 of years. We've been transactional for officially for six years in terms of the business model. And so it's not surprising that many of our buyers still aren't aware that we support it. We've only been in markets since November 10th. So, I think the sort of secondary focus beyond educating seller on how to price effectively is to grow awareness that we have this format among existing buyers, and then ultimately to promote that to new buyers as well.
Tu Nguyen: And yes, Justin into the second part of your question, transaction revenue made up 70% of our total revenue in Q4.
Justin Post: Great. Thank you. Thanks for your help.
Operator: Thank you. Our next question or comment comes from the line of Ross Sandler from Barclays. Your line is open
Ross Sandler: Hey guys, question on the testing of the dropping seller subscription fees and going to transaction only. Do you think that just getting rid of subscription fees entirely is a better long-term strategy for 1stDibs? I mean, you still have that $14 billion to $500 million gap that you mentioned, so there's a lot of supply up there. What would doubling of that supply do if you kind of have more of a funnel problem? So maybe just talk about that kind of long-term as an opportunity. And then you also mentioned there's faster growth in that $2,000 to $20,000 price range was that auction or was that something else? And then, yeah, maybe I'll ask one more follow-up.
David Rosenblatt: Okay. Hey Ross, so I'll start with that first question and then kick it over Tu for the second question. So just as a reminder, our objective as a company is to offer buyers as wide range as possible of all qualified supply in all of our categories. And we believe that we have a minority of that supply in the world. We also think that the biggest obstacle to adding more supply is our relatively high subscription price. That's not exactly what you're asking, what you're asking is, why does it make sense? How does it make sense to increase supply when only a relatively small percent of that converts to orders? So the answer is that we think actually that adding more supply will increase. Not just orders, but potentially conversion rates, somewhat counterintuitively. And the reason is, we – first of all, we think it'll grow traffic because we get a lot of traffic from SEO. We get a fair amount of traffic from paid. A lot of that is driven by Google. So the more consumer queries that we correspond, we have items that correspond to the more traffic we're going to get. And then secondly, once those consumers come to 1stDibs, the more items we have, the more different ways we have to engage with them and vice versa, right? They can favorite items, they can save items. They can put items in the cart and so on. Each of those creates kind of potentially triggered marketing event. And then lastly, again, we think somewhat counterintuitively that having more supply can have the impact of increasing conversion. The reason for that is, has to do with the fact that we are a marketplace of one of a kind items. And we have lots of so-called long tail queries where people are looking for very specific things. For many of those queries, we have – again, to use a kind of industry term of art, we have thin search results. Meaning not that many listings show up that correspond to what the user is searching for. So the more items we have, the more likely we are to have something that corresponds to what that buyer is interested in. And therefore the more likely it is that buyer will convert.
Tu Nguyen: Yeah. And to the second part of your question, Ross, the growth in the $2,000 to $4,000 bucket was not related to auction that's the consistent growth that we’re seeing in the base business. And we actually have seen AOV for our new buyers have been increasing as well. So that's related to the overall growth in AOV that we have seen in the quarter.
Ross Sandler: Got it, okay. And then the last one, just on the gross margin, Tu can you remind us, I think the way this works, but remind me if this is correct, your quoted shipping rate and then if the quoted rate ends up being different than the actual rate, that's the $3 million that you ended up having to pay incremental in the fourth quarter, that's not going to repeat, is that basically what happened here? And we feel comfortable that's not going to happen again?
Tu Nguyen: Yeah. So that's a great question. And just to provide some additional context on our shipping rate. So to reiterate, we do not take ownership of inventory or directly fulfill any of our orders. However, to reduce friction and improve buyer conversion, we do provide advanced shipping quotes on about 85% of our listings on the site and we do that based on historical shipping prices. So when the actual shipping cost exceeds that advanced quote, we incurred the losses, that's exactly your – consistent with your understanding. And historically that shipping loss has been very small, relatively about 50 basis point of GMV. In the fourth quarter, we saw an unexpected increase in shipping costs due to supply chain disruptions and shipping cost inflation that was mostly attributable to cross-border shipments for bulky items, which accounted for about 10% of our total orders. So after identifying the issue, we immediately adjusted our pricing and stopped offering advanced quotes on certain large bulky international orders and have also put a process in place to review shipping losses on a regular cadence, so that we can identify unexpected losses in a timely manner. And since taking these actions, our shipping losses have come down and we expect gross margins to more normalize in the first quarter of 2022.
Operator: Thank you. Our next question or comment comes from the line of Spencer Tan from Evercore. Your line is open.
Spencer Tan: Thanks for taking my question. Just wanted to follow up on the gross margins for the quarter and your outlook for Q1. It seems like gross margins have fluctuated between kind of 67% to 72% over the last three Q1s. Could you just provide a little bit more color on what the expectation is in terms of normalizing gross margins in Q1? And then to follow on to Ross's question, I just wanted to see if you've tested kind of the price elasticity from some of your buyers, if you are charging them a higher shipping cost associated with covering some of these shipping inflation costs that you you've been seeing. Thank you so much.
Tu Nguyen: Thanks, Spencer. So let me take both of that questions. So first on gross margin, we do expect that the shipping losses that we taken in Q4 is a one-time basis. And we do expect to – that gross margin to normalize in Q1 to the level that we have seen historically in prior quarters as well. So if you think about the average between what we did in Q1 to Q3 of last year, we do expect to come in, in line with that level. And then second, in terms of the price elasticity of shipping cost, our goal is to provide the best shipping available in the market and that is dependent on again supply chain and the rates to which our carriers are able to provide right now. Again, we do extensive analytics at the backend to understand the trade-off between conversion improvement as well as the shipping loss that we potentially would incur and use that information to pre quote the shipping prices on the site. And again, that's consistent with what we have done historically. And then the issue that we had in Q4 was 100% not expected because there was a lot of volatility in terms of the shipping prices. So our goal going forward in the meantime is to make sure that we stabilize that loss until we see more stability in terms of the shipping quotes that our carriers are able to provide us in the meantime.
Spencer Tan: Thank you very helpful.
Operator: Thank you. Our next question or comment comes from the line of Ralph Schackart from William Blair. Your line is open.
Mary Donaldson: Hi everyone. Thank you. This is Mary on for Ralph. I know back in November, when we had originally asked about the NFT opportunity, we recognized it was still early days, but wanted to see if there was potentially any additional color that you could provide given what seems to be kind of increased competition and interest in this space by the consumer. And then as a kind of short follow-up, I was wondering if there was any interesting kind of conversion metrics you're seeing from potentially new customers coming in and purchasing an NFT and then flipping and purchasing an item from more of the traditional 1stdibs segments or vice versa. Thank you.
David Rosenblatt: Sure. So in the NFT market, as with every marketplace, the key is having unique and – valuable supply that's unique to our platform. What we've been really encouraged by is we've had very strong interests among high quality crypto artists to sell-through 1stdibs. The gating factor so far has been our ability to onboard them. The reason for that is that we have lacked until now self-minting tools, which allow artists to basically post tokens works of digital art themselves onto the 1stdibs' marketplace, rather than rely on our folks to do that work for them. Once we have that that will unlock what is a very healthy waitlist of artists, who have committed to sell through us. Those tools are in data right now and should be released very soon. And we're optimistic that once that happens, the amount of supply should increase significantly. And that in turn will result in higher consumer engagement, both in terms of actual demand, but also in terms of our social channels and other ways in which crypto buyers tend to interact with the product.
Mary Donaldson: Great. Thank you.
Operator: Thank you.  Our next question or comment comes from the line of Andrew Boone from JMP Securities. Your line is open.
Andrew Boone: I wanted to ask two. So it seems like there is a pretty significant potential to double conversion with localization. Can you just help us size the opportunity of localizing Germany and France? And given the multiple products that you talked about, I think you talked about language as well as payments and customer service. Is that a 2022 opportunity or is that a multi-year kind of two, three year opportunity? And then secondly on IDFA, understood the headwinds. Can you just talk about some of the first-party data initiatives that you're undertaking as well as anything else that we should be thinking about for the back half of the years as it relates to digital marketing? Thanks so much.
Tu Nguyen: Yes, let me take the questions on international and then maybe David can provide some additional colors in terms of the tactics we are taking on IDFA. So we view international as long-term opportunity for the company and that would require a dedicated investment over multi-year. And so, in terms of the plan that we in place we will start with France and Germany and that will start with localizing the site, which is done. We'll also start with the translation cost of all of the contents and listings on our site as well in these two languages. We did incur the initial translation cost in Q4 of 2021 and we do expect to incur a similar amount of translation expenses in Q1 of 2022. After the launch in the first half, we will then start to layer on paid marketing. And so, the way that we think about paid marketing is very similar to when we launched paid marketing in the U.S., similar , we'll start to watch what conversion rate gains we get from launching localized site as well as expectations in terms of SEO gains once our sites are searchable in local languages. I would say that very similar to our U.S. launch, when we think about the efficiency level for paid marketing for these two new markets, we do expect that initially our paid marketing will be less efficient than the base business that we have today. As we get more data, we will be able to get smarter about bidding and the campaigns that we have in the market, and that efficiency should start to improve just very similar to all of the campaigns that we have ongoing in the U.S. market. And in terms of sizing the opportunity, I would say that just in terms of some framework as how we think about the opportunity, right now a lot of our supply comes from outside of the U.S. And so, we are not focused on exponentially growing international supply as part of this plan, what we're very much focused on is growing traffic and conversion. And then traffic will be in the form of SEO and paid. And then in terms of conversions, it's just some additional data point. The conversion rate for our non-English sites, our non-English traffic is about half of the conversion rate of our English speaking traffic. And so we do feel confident about our ability to grow conversion over time. And again, we'll be able to get more data once we are in market, and that we'll incorporate those information in future guidance as we will continue to give more update on how the initiative progresses just like all of the other initiatives that we have in the market as well.
David Rosenblatt: Yes. And on IDFA, our approach on mitigating the impact of the IDFA headwinds is pretty similar to most other consumer companies. We're testing new remarketing tactics looking at programmatic retargeting, finding incremental sources of ad inventory. And I think probably more important than any of those is increasing the volume of first party data that we have. So an example of that would be we're very focused on growing the volume of registered users and we've been quite successful in that. So again not dramatically dissimilar from other companies, but it's a big focus of ours.
Andrew Boone: Thank you.
Operator: Thank you. I'm sure no additional questions in the queue at this time. I'd like to turn the conference back over to management for any closing remarks.
David Rosenblatt: Sure. So I just like to thank everyone once again for joining the call, our buyers, sellers, employees and investors for all of your continuing support. Thank you and have a good night.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.